Operator: Good morning, and welcome to United Continental Holdings Earnings Conference Call for the Second Quarter of 2012. My name is Brandon and I will be your conference facilitator today. [Operator Instructions] This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I would now like to turn the presentation over to your host for today's call, Nene Foxhall and Sarah Murphy. Please go ahead.
Irene E. Foxhall: Thank you, Brandon. Good morning, everyone and welcome to United's Second Quarter 2012 Earnings Conference Call. Joining us in Chicago to discuss our results are President and CEO, Jeff Smisek; Executive Vice President and Chief Revenue Officer, Jim Compton; Executive Vice President and Chief Financial Officer, John Rainey; Executive Vice President and Chief Operations Officer, Pete McDonald; and Senior Vice President of Finance and Treasurer, Gerry Laderman. Jeff will begin with some overview comments, after which, Jim will review capacity and revenue results. John will follow with a discussion of our cost structure, balance sheet and guidance. Jeff will make a few closing remarks, and then we'll open the call for questions, first from analysts and then from the media. We would appreciate it if you would limit yourself to one question and one follow-up. With that, I'll turn it over to Sarah Murphy, our new Head of Investor Relations.
Sarah Murphy: Thank you, Nene. This morning. we issued our earnings release and separate investor update. Both are available on our website at ir.united.com. Let me point out that information in this morning's earnings release and investor update and the remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. All forward-looking statements are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectations. Please refer to our press release, Form 10-K and other reports filed with the SEC by United Continental Holdings, United Airlines and Continental Airlines for a more thorough description of these factors. Also during the course of our call, we will discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release. Unless otherwise noted, special charges are excluded as we walk you through our numbers for the quarter. These items are detailed in our earnings release. And now, I'd like to turn the call over to Jeff Smisek, President and CEO of United.
Jeffery A. Smisek: Thanks, Nene and Sarah, and thank you all for joining us on our second quarter 2012 earnings call. Today, we reported net income of $545 million for the second quarter or $1.41 per diluted share, delivering a pre-tax margin of 5.5%. Based on our year-to-date profit, we've accrued $54 million in profit-sharing for our coworkers so far this year. This is our first full quarter operating as a single airline, following our conversion to a single passenger service system. Now, all of our customers can purchase tickets through a single website, united.com, experience a single check-in process through our mobile app, website or at the airport, and earn miles in a single loyalty program, MileagePlus. The shares conversion was successful, but following the cutover, we faced a number of issues. As we identify these conversion-related issue, our top priority was to improve the customer and coworker experience by determining the cause and quickly deploying teams to fix the problem. We made significant progress on these issues during the second quarter, and customers calling our reservations line now experience normal wait and handle times, MileagePlus miles for United flights now post within 48 hours of travel, and complementary upgrades for our premier members now clear in a timely manner. I'd like to thank my coworkers for working together to promptly resolve the conversion-related issues and for their commitment to taking care of customers during a challenging time. Although working with a new system and implementing new processes are not easy, we're excited to begin using the share system because of the power and flexibility it provides. We plan a number of improvements, including an enhanced front-end interface for our airport and contact center agents. This new tool will make fulfilling customer requests and making changes easier and faster for our coworkers. We rolled out a test of the first of several planed releases for our airport agent interface 2 weeks ago, improving the speed and ease of handling premium cabin up-sells, same-day upgrades and standby requests. Our next major release occurs in October, which includes a new user-friendly design and experience, easier elite recognition, automatic calculation of service charges and better flight amenity details. In 2013, we will implement a comprehensive new front-end interface for our airport and reservations agents, which will enable us to deliver a higher level of service than we've ever been able to offer in the past. Although our financial results this quarter are solid, our operational performance didn't meet our goal of providing the reliability that our customers expect. During the quarter, our performance declined on metrics such as on-time arrival, mishandled bag rates and cancellations. We recognize that we added new stress to the system by simultaneously converting to a single passenger service system, implementing hundreds of new processes and procedures, rerouting aircraft across our network and harmonizing our maintenance programs. Those changes were in large part responsible for the degradation in our operational performance. Pete MacDonald, our Chief Operations Officer, is leading an aggressive effort to address these issues. In mid-May, we launched our first wave of domestic aircraft redeployment, and we're pleased with the early results on these routes. However, our redeployment strategy brings some complexity to our operations for a period of time, since redeploying aircraft introduces a new aircraft type to a new market or hub. For instance, using Airbus aircraft in Houston or Boeing 737s in Chicago. Additionally, that complexity is amplified during irregular operations caused by weather or mechanical issues, and during peak travel times like the summer. To help our airports and manned maintenance stations during this period of change, we're increasing staffing levels to the remainder of the year. At our United subsidiary, we had reduced the number of spare aircraft in the system, as we introduced more preventative maintenance visits and aligned the maintenance programs of our 2 subsidiary fleets. We are, however, reversing our spare reduction decision based on the recent increase in long flight delays and cancellations on our United subsidiary fleet. We are returning to our historical level of spares at our United subsidiary, and are increasing our line maintenance touch points and hours, which we expect will quickly improve our schedule reliability. Once we are past this period of change, we believe that we'll be able to return to a more efficient spares complement. Although we faced challenges this quarter, we laid the groundwork for United's future. I know we caused some customer disservice because of all the changes we've made so quickly, and I apologize for that. We hold ourselves to a higher customer service and reliability standard than we've delivered for our customers lately, and we will return to the level of service and reliability our customers expect. Looking beyond that, we're investing across the enterprise to improve the product and services we offer our customers. This will help us reach our goal of achieving sufficient and sustained profitability and generating returns in excess of our cost of capital across the business cycle. We continue investing in products that our customers value and are willing to pay for, and are aligning our onboard offerings across subsidiaries and fleet types. To date, we've installed Economy Plus seating on 86% of our mainline fleet and plan to finish outfitting our entire mainline fleet with Economy Plus by January 2013. Our Premium Cabin flat-bed seats are now installed on 87% of our international fleet, including our first reconfigured and retrofitted International 767-300ER. We'll complete installation of flat-bed seats on our entire international fleet by the end of the first quarter of 2013. We improved our premium international in-flight dining experience with enhanced gourmet meals and course-by-course meal service in Global First and BusinessFirst. We began installing global satellite-based Wi-Fi in August, introducing the product first on Airbus A319 aircraft, followed by the Boeing 747 and 737-900ERs. Given the size of our fleet, the installation process across our entire mainline fleet will take about 3 years. United is committed to investing in a modern, customer-pleasing and fuel-efficient fleet. And 2 weeks ago, we announced a new narrow-body aircraft order for 100 Boeing 737 MAX 9 aircraft and 50 Boeing 737-900ER aircraft. These planes offer a significant improvement in customer experience, fuel efficiency, environmental responsibility and operating cost compared to the aircraft they're replacing. We are replacing our older, less fuel-efficient aircraft types, such as the Boeing 757-200s, which currently fly domestically. Together with our existing orders, our new narrow-body order ensures that in the coming years, United will have a highly efficient and flexible fleet that offers customers the amenities they want. We expect to take delivery of our first Boeing 787 Dreamliner in September, flying first between our U.S. hubs before moving to international service. The 787 is a game-changer, with unparalleled fuel efficiency and customer-pleasing amenities, such as large windows and a modern cabin design to reduce the effects of jet lag. It gives us the opportunity to operate more efficiently while offering our customers the best airplane in the skies, and is a powerful competitive advantage as we will be the first North American airline to fly the Dreamliner. We're improving our global network by introducing new service. During the second quarter, we launched new service route from New York to Buenos Aires, from San Francisco to Washington Reagan National, and from Washington Dulles to Manchester and Dublin. We're also investing in our hub airports. At O'Hare's Terminal 2, we're building a new United Club which will triple the size of our existing club and will feature a modern look and feel and we're installing an additional 10 jet bridges at our United Express gates, enhancing our customers' experience while on the ground in Chicago. We continue to innovate our industry-leading Loyalty Program MileagePlus with 90 million members worldwide. We recognize the significant opportunity to create value by building the strongest loyalty currency possible. In addition to offering unmatched opportunities to earn miles, we're committed to offering excellent air and non-air redemption opportunities. United recently earned recognition as the carrier with the most award seat availability among U.S. global airlines. We know how important it is to our members to receive award travel, and we're proud to be the best in the industry. In March, we introduced the United Club card, the latest product in the United MileagePlus Chase Visa portfolio. The United Club card is a premium card offering holders a number of options to access United Club lounges across our industry-leading global network, Premier Access, our priority airport experience, a mileage bonus when using the card, and complementary first and second checked bags. Interest in the new United Club Card is very strong, and we're looking forward to growing our card portfolio and other loyalty opportunities in the coming quarters. We're also investing in our coworkers by getting them the right tools to do their jobs safely and efficiently, and by recognizing them for their great work. In addition to the upcoming user-interface improvements to shares, in May, we open a new Network Operations Center, or NOC, in downtown Chicago. The NOC is the nerve center for our airline, where we do aircraft routing, load planning, crew scheduling and weather forecasting. United's NOC is a world-class operations center, with the best technology and tools for our coworkers, who manage our round-the-clock global operation. We're also improving coworkers' access to health and wellness professionals by building an employee medical clinic at O'Hare. During the second quarter, we introduced our Outperform Recognition Program. The program gives customers the opportunity to recognize an employee for providing outstanding service using our mobile app. Coworkers who are nominated by customers are entered into a drawing to win cash prizes, including a top prize of $50,000. Any MileagePlus member submitting a nomination is also entered into a drawing for prizes such as MileagePlus miles and round-trip tickets on United. We continue making progress in bringing our employee groups together. In June, we reached a tentative agreement with our flight attendants from our Continental subsidiary, and that agreement was ratified 2 weeks ago, 3 months ahead of the contract's amendable date. In addition, last week, we reached a tentative agreement with our Continental Micronesia flight attendants. In the last 9 months, we've achieved ratified agreements with 5 of our work groups, including United and Continental flight attendants, United and Continental Micronesia Mechanics and Continental Ground School Instructors. We continue to make progress in mediated joint negotiations with ALPA, our pilots union. At the request of the National Mediation Board, we won't be giving further details on the status of our pilot negotiations at this time. However, we remain focused on bringing our work groups together as quickly as we can, with responsible joint collective bargaining agreements that pay competitively. We're pleased with the progress we've made this quarter, but our operational performance and financial results are not yet where we want them to be. We will work hard to improve our results, and I'm excited by what we'll deliver for our customers and our coworkers as we work together to build the world's leading airline. With that, I'll turn it over to Jim and John to go through the results in greater detail.
James E. Compton: Thanks Jeff. I also want to thank our coworkers for their hard work this quarter, and our customers for choosing to fly United. We remain committed to capacity discipline to generate sustained and sufficient profitability. Our second quarter consolidated capacity decreased 0.6% year-over-year. Although the cost of jet fuel came down, we recognize that jet fuel prices are very volatile, and we continue our commitment to capacity discipline. United's second quarter consolidated passenger unit revenue increased 3% and mainline PRASM increased 1.8% versus the second quarter of 2011. Consolidated yields improved 1.8% and consolidated load factor increased 0.9% as compared to the second quarter last year. Second quarter domestic mainline PRASM increased 1.1% and yields increased 1.3% year-over-year. Domestic mainline capacity decreased 0.5% as compared to the second quarter last year. Regional PRASM grew by 8.5% while regional capacity declined 3.0% in the second quarter compared to the same period in 2011. International unit revenue increased 2.6% in the second quarter versus 2011. Second quarter international yields improved 0.7%, while international capacity was roughly flat in the quarter. The Pacific was United's best-performing region in the second quarter, with unit revenue up 6.6%, and yields up 4.9% versus the same period in 2011. Our Pacific PRASM results include proceeds United received from a business interruption claim related to the 2011 Japanese earthquake and tsunami. This out-of-period item increased our second quarter Pacific year-over-year PRASM growth by about 2 percentage points. Japan was once again the top-performing Pacific country, with approximately 15% PRASM and 11% yield growth versus the second quarter of 2011. Japan premium cabin demand was particularly strong in the second quarter, as PRASM increased 25% year-over-year. Pacific capacity increased 5.6% year-over-year as we began to lap our flight between Los Angeles and Shanghai, which we introduced in May 2011. We continue to strengthen our Pacific route network, and this month announced new service between San Francisco and Taipei starting in 2013. Second quarter transatlantic PRASM increased 2.3% and yields increased 1.1% year-over-year. We reduced our transatlantic capacity during the quarter by 4.1% year-over-year, as we trim capacity in the face of Europe's continuing economic challenges. While Europe showed moderate revenue growth in the quarter, India was an outstanding performer, with overall PRASM up 10% and premium cabin PRASM up 14% versus the same period in 2011. The Latin America entities faced very challenging year-over-year comparisons this quarter. Last year, Latin America PRASM and yields increased more than 20% versus the second quarter of 2010. This year, Latin America's second quarter PRASM declined 3.4% and yields declined 7.2%. On a year-over-year basis however -- on a 2-year, year-over-year basis, however, second quarter Latin America PRASM and yield are up approximately 16% and 14%, respectfully. Corporate customers continue to recognize United's superior network. In the second quarter, corporate revenue improved nearly 16% versus the same period in 2011, driven primarily by an increase in corporate passengers. Second quarter cargo revenue declined 60% versus the same period last year. The cargo business continues to struggle as the market digests increased industry capacity, particularly in the Middle East and Pacific. Outstanding Economy Plus and Premium Cabin upsell sales drove second quarter ancillary revenue up 11% year-over-year. Our strong ancillary revenue performance this quarter is largely due to our conversion to shares, which enables dynamic pricing, improved targeting and bundling of ancillary products and services. Economy Plus revenue grew more than 25% versus the second quarter of 2011. As Jeff mentioned, Economy Plus seating is available on 86% of our mainline fleet. And sales of those new seats account for roughly 1/3 of the year-over-year Economy Plus sales improvement this quarter. Second quarter sales of Premium Cabin upsell, our products allowing customers to gain access into the BusinessFirst or Global First cabins, increased 20% year-over-year. We know customers value more space, comfort and legroom when they fly, and United leads the industry in innovative seating products. The economic environment remains tepid. And as I just mentioned, the price of jet fuel remains very volatile. We have not changed our expectations for 2012 consolidated capacity, which we expect to decrease between 0.5% and 1.5% versus 2011. We expect third quarter 2012 consolidated capacity to decrease between 0.7% and 1.7% year-over-year. In the investor update we issued today, we detailed our third quarter and full year capacity outlook for all of our geographic entities. When we reduced our full year capacity outlook in March of this year, the reduction was weighted towards international flying, most notably, the Atlantic. We expect our transatlantic capacity to decrease 2.7% to 3.7% year-over-year in the third quarter, and 2.1% to 3.1% year-over-year for the full year. We continued redeploying aircraft across our domestic network in May. We are excited about our expanded ability to match capacity with demand on a flight-by-flight basis, and are seeing improved revenue results in a variety of markets. We learned a number of lessons from the first round of redeployments, and will apply them to our second leg, which we expect to implement with the September schedule. Turning to our near-term revenue outlook, we estimate United's July consolidated PRASM will be roughly flat year-over-year. With that, I'll turn the call over to John.
John Rainey: Thanks, Jim. Today we reported over $0.5 billion of profit for the second quarter, in large part due to the efforts of my coworkers. I want to thank the entire team for working through challenges of our merger integration this quarter. For the second quarter, we recorded a pre-tax profit of $546 million and a pre-tax margin of 5.5%. Excluding the impact of our fuel hedges, our pre-tax margin improved 2.7 points year-over-year to 6.2%. Before I move to a discussion of second quarter results, I want to address the accounting adjustments to passenger revenue that we disclosed earlier this week. In connection with our conversion to a single passenger service system in March, we also converted to the Continental Airlines' revenue accounting system. During the second quarter, we made additional enhancements to the revenue accounting system, including a systematic reconciliation of open tickets to the general ledger balance of advanced ticket sales. These enhancements provide for more precision in the way that we recognize revenue and rely less on estimates. However, the timing of the implementation this quarter resulted in recording some April and May revenue adjustments in June. Although the second quarter was not without its bumps, our results are still good by historical standards. I firmly believe the profit we reported today is an endorsement of the structural changes we are making in this business. Our second quarter total operating expense increased 3.4% or $303 million year-over-year. Our second quarter consolidated CASM excluding fuel, third-party business expense and profit-sharing also increased 3.4% versus 2011. On a fuel rate and profit-sharing neutral basis, second quarter consolidated unit costs increased 2.1% year-over-year. Non-operating expense for the quarter was $235 million, about $30 million lower than the second quarter of 2011. This decrease was a result of lower interest expense year-over-year as we continue to reduce our debt. In the second quarter, we paid down $258 million of debt and capital lease obligations, including $69 million of prepayments. Earlier this month, we also paid off 2 of our most costly pieces of debt on the balance sheet: The $172 million remaining on United's spare parts facility, which carried an interest rate of 12.75%; and the $79 million remaining on United's spare engine facility, with a coupon of LIBOR plus 1,130 basis points. These debt instruments were vestiges of a time when airlines needed to borrow money to maintain adequate liquidity. One of our primary objectives is strengthening our balance sheet by paying off costly debt and instead using the capital markets prudently to fund investments in our business. We ended the quarter with $8.2 billion in unrestricted liquidity, including an undrawn credit facility of $500 million. We have approximately $710 million of scheduled debt maturities and capital lease payments remaining this year. Gross capital expenditures were $500 million in the second quarter, and we continue to expect gross capital expenditures to be $2.35 billion for the full year or $1.25 billion net of expected financing. For the last 12 months ending in the second quarter, our return on invested capital was 10%, which exceeded our cost of capital for that period. We continue to emphasize the importance of generating profits in excess of our cost of capital, and that's part of the way that we do business. We use return on invested capital on route analysis, fleet strategy, balance sheet decisions and our compensation programs. We still expect our full year 2012 consolidated unit cost, excluding fuel, profit-sharing, third-party business expense, to increase 2.5% to 3.5% year-over-year. We expect our third quarter 2012 consolidated unit cost, again excluding fuel, profit-sharing, third-party business expense, to be up 3% to 4% year-over-year. We have a downward bias for capacity in the third and fourth quarter. Any additional reduction in capacity would likely result in some modest pressure to our current CASM expectations. Essential to running a great airline, one that customers want to fly, employees want to work for, and investors want to invest in, is running a good operation. To that end, we are making investments in our business to improve our operations, which are reflected in our current cost guidance. We also see some cost pressure in other areas which are primarily a continuation of what we experienced in the first half of the year, such as salaries and related costs, which are up after achieving a number of ratified labor agreements this year. We estimate our third-party business expense to be approximately $70 million in the third quarter and $290 million for the full year. We have hedged 48% of our expected third quarter fuel consumption and 45% of our expected fuel consumption for the second half of 2012. Based on the forward curve, as of July 17, we expect our consolidated fuel price to be $3.13 per gallon for the third quarter and $3.22 per gallon for the full year. Earlier, Jeff discussed the importance of our new narrow-body fleet order, the 100 Boeing 737 MAX 9 aircraft and 50 additional Boeing 737-900ER aircraft are the best aircraft for our network and enable us to replace older, less efficient aircraft over the next decade. We continue to improve our fleet, and in the second quarter, took delivery of 6 Boeing 737-900ER aircraft. By the end of 2012, we expect to take delivery of an additional 9 Boeing 737-900ER aircraft and 5 787 Dreamliners. During the second quarter, we removed 1 Boeing 737 Classic and 3 767-200s from scheduled service, bringing our year-to-date aircraft retirements to 10. In total, we expect to retire 28 mainline aircraft during 2012. Fundamental to our fleet strategy is preserving the flexibility to respond to economic conditions while balancing that with replacing older, less efficient aircraft with new-generation aircraft that have better operating economics. As we evaluate the need to replace aircraft, we do so with an eye toward maximizing return on invested capital over the life of the asset that we are investing in. In this case, up to 30 years, as well as capital market and manufacturer constraints. Importantly, we recognize the benefit capacity discipline brings, and we are not going to depart from the strategy. Between our mainline and regional fleet, we have about 1,250 aircraft today. Over our planning horizon of the next 5 years, we intend to keep our fleet count roughly flat. Some of the aircraft we have on order will replace smaller gauge aircraft and we will be installing more economical, slimline seats, both of which we anticipate will result in minimal ASM growth over this time period, around 1% annually. Our current expectation for 2013 consolidated capacity is flat to up 1% year-over-year. By preserving flexibility in our fleet, we can also appropriately respond should we need to decrease capacity as a result of macroeconomic conditions. I want to close by, again, thanking my colleagues and a team of more than 80,000 at United. We made progress this quarter toward becoming a stronger company. We want to consistently earn a profit in excess of our cost of capital, reduce our debt, and strengthen our balance sheet and take a long-term approach to the investments we make in the business. These investments will allow us to recognize our employees for the job that they do, deliver the type of product and service our customers want and create the type of sustainable value that our shareholders require of us. With that, I'll turn the call back over to Jeff.
Jeffery A. Smisek: Thanks, John. This quarter was a time of transition. And we had our fair share of customer service and operational issues. Nonetheless, we earned over $0.5 billion. We have much work yet to do. But United is on the right path, as we work together to build the world's leading airline. I'll now turn it over to Sarah to open the call for questions.
Sarah Murphy: Thank you, Jeff. First, we will take questions from the analyst community, then we will take questions from the media. Please limit yourself to one question and if needed, one follow-up question. Operator, please describe the procedure to ask a question.
Operator: [Operator Instructions] From Deutsche Bank, we have Michael Linenberg online.
Michael Linenberg - Deutsche Bank AG, Research Division: I have 2 questions. I guess and I think actually both of them are for Jim. Jim, when I look at your investor update, and I look at the forward bookings and I look at where the loads are, they seem to be up pretty healthily on one hand, on the other hand you gave us your view for July PRASM. Is there a bit more stimulative type fare activity going on in sort of the August, mid-to-late August timeframe? What accounts for those differences?
James E. Compton: Mike, it's Jim. I think, yes, as you mentioned in our investor update, we talked about actually some pretty good bookings, strong demand as we look forward over the next 6 weeks and so forth. The pricing environment, although stable, I think we are seeing some fare sell activity, both in bringing close -- some competitive carriers bringing the AP in closer as well as fare that's putting some pressure on us. But from a demand perspective, we actually feel pretty good. And as a matter fact, we led an increase last week, $2, $3, $5 that had a match. The question on that is always due to sale fares under how much of that you realize given that the sell fare activity is out there. So I think we feel good about demand and managing the yield environment.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, very good. And then just my second question, this is just a data piece. Last year, with the FA shut down, what was the estimate of the benefit, the revenue benefit, that you got over this, I think it was like a 3, 4-week period?
James E. Compton: Yes, it was about -- it was a couple week period, I think July 23 to August 8. And we talked about, about a $60 million impact from that last year. And clearly most of that fall in the third quarter.
Operator: From JPMorgan, we have Jamie Baker online.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: First question for John. Just wondering if you could be any more forthright than your predecessor in terms of addressing whether or not you're accruing for higher labor costs?
John Rainey: Jamie, that's a tricky one. And I don't mean to be coy in any way. The way I have to answer that question is to the extent that it's we believe it's going to occur, we're accruing for our expectations. I think you've seen a number of different ratified agreements occur this year. Obviously, those were -- are reflected in our second quarter results. We clearly want to move in a direction where we will have joint collective bargaining agreements, and we have to make some assumption about when those will occur, as well as how much they are. And to the extent that, that's in our guidance then -- to the extent that's in the time horizon that we're guiding to, it's in there.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Okay, excellent. And second, probably for Jim, but anybody can take it, as it relates to corporate contracts, my understanding is that most tend to run on a calendar year. They're typically more than a single year in duration. I'm just trying to assess whether some of the operational difficulties as of late, might have exposed you to any potential loss of corporate customers. Or is that more of a year-end type negotiation. I always tend to consider book a way, to be kind of a short-lived phenomenon, but I do have to wonder if it could prove longer-term, if it does impact the corporate negotiating aspect.
James E. Compton: Hey, Jamie, couple of thoughts on that. Corporate deals, I think your general kind of -- the contracts are a little bit different depending on the corporation or when they start up and other things like that. But I think that's a -- your summary's kind of a good general way to think about it. I'll point to the 16% growth of corporate revenue in the second quarter. We have had a challenging quarter. And from an operational perspective, and we don't see loss in share today. I would say that we've been improving our share as people see the value of the network that it brings to them, the great loyalty program and so forth. So my anticipation is that our investment in our operations and reliability that we are doing right now, many of the products that Jeff talked about in his comments that were -- as the operation improves and the power of the network which we can see at -- a market level in the second quarter that we don't anticipate any loss in corporate revenue going forward. And I will tell you this, our salesforce is out there with the corporations all day, every day, working hard. They bring in senior management as the issues come up to work with them. And we're working through that. But I don't see any loss in share today, and don't anticipate any.
Jeffery A. Smisek: This is Jeff. Let me just add in as well. Look, we know what we did to get us into the operational issues we've had. And we know how to get back out of it. And we will. We've got a lot of focus and attention throughout the organization. And I believe that we'll restore our operational integrity in fairly short order. So we're very focused on it.
Operator: From Wolfe Trahan, we have Hunter Keay online.
Hunter K. Keay - Wolfe Trahan & Co.: I just want to push a little bit on this execution issue that we've been seeing here, and Jeff or anybody, I'm wondering if you can just give us a specific benchmark now that we can look for from you guys to achieve, say maybe before the end of this year, or over the next 12 months. It doesn't necessarily -- you don't necessarily have to answer this question right now on the spot, but maybe at some point in the near future, whether that's PRASM outperformance well over the peers, a joint labor contract from a major workgroup, a target debt level, just something that we can maybe put a marker down and say, "This is our goal, and this is a reason to be excited about owning the stock right here."
Jeffery A. Smisek: Hunter, this is Jeff. No, I appreciate that. And I'll tell you operationally, it's very clear we have 80% on-time performance as our goal. We haven't made that lately. We're going to work hard to achieve that. We've stumbled a bit on some of our completion factors, as well as we brought down the spares on our United subsidiary, as we were funding some preventative maintenance and we over rotated on that, and we are going to -- and we're reversing that. We're going to add the spares back. That's -- it's more costly to us to do it, but the first thing about running an airline is you've got to run a really good airline, and we've got to restore that, we know how to do that. In terms of debt, I'll put that back to John. But we clearly have a focus on improving our balance sheet, we're overlevered, as this business generally is, and we need to reduce that and reducing debt is a gift that keeps on giving. And in terms of our joint collective bargainings, we're very focused on that. These things do indeed take time. We're in a lot of simultaneous negotiations. I can't talk about our pilot negotiations because of the NMB has asked us not to do that, and I want to honor their request. But as you can see from the individual deals that we've got, and we know how to do them, we know how to get them. Those the cost of those are already in our numbers, and we're very focused on moving forward and getting joint collective bargaining agreements because I think that's -- it's important for our coworkers, it's important for bringing our coworkers together, it's important for developing the culture of the combined airline.
John Rainey: Hunter, this is John. I'd just follow up Jeff's comments on the net debt capital structure. I'd certainly want to be a little more transparent, and that's my intention over the course of the balance of the year, is to help let you guys know how I'm thinking about this. But if you look at the progress we've made, just in the last 2 years, and I know there's a lot of people focused on net debt, we've reduced our net debt by $4 billion over that time period. And when you talk about the effect that has on the P&L, that's -- we've got $200 million of interest expense that's gone away over that period of time. And the way that I think about that, those are savings that go to the bottom line that are not dependent upon some load factor assumption or take rate, those are recession-proof savings that are there year-in and year-out. It's the gift that keeps on giving, as Jeff says. So it's clearly what we want to continue to do. If you could at our maturity profile over the next 4 or 5 years, we've got a significant amount, $3.5 billion to $4 billion of non-aircraft debt that we need to pay off. And so I think we can vastly improve the quality of our balance sheet over that period of time by generating cash flows to pay off that kind of debt, and get down to a more reasonable capital structure for our company. I don't necessarily have a target that I want to share with you in terms of debt-to-capital, but I think we all know directionally, that, that number needs to go down.
Hunter K. Keay - Wolfe Trahan & Co.: Yes. Okay. So just to follow-up, and I'll ask a true follow-up, I guess is, in that same vein, John, I mean, if you put out a debt target, or some sort of ideal capital structure ratio, I realize that things change. And I think most people can accept the fact that oil can go up or terrorism can happen or something bad can happen, but why should an equity investor feel comfortable -- your stock is trading at like 4x earnings, why should an equity investor feel comfortable sticking their neck out and saying, "I'm going to invest in this over the long run. I think that multiple is going to go higher than 3x to 4x." If you guys aren't willing to stick your neck out and say, "Three years from now, if everything kind of unfolds as we expect it to, our net debt level is $8 billion." Or something like that. Because I don't think the equity markets will reward you with multiple expansion until you feel comfortable putting that out there yourself. Would you disagree with that?
Jeffery A. Smisek: No, it's a very fair point, Hunter. I mean, I certainly don't want to put out numbers that I think allow you to back into what we're projecting for our free cash flow and therefore P&L. But I think, being more transparent in letting you guys understand how we're thinking about this, and I think more important, perhaps, prioritizing, how we think about this. I think from an equity investor's perspective, when we talk about multiple expansion, one of the best things that we can do right now is delever and take a lot a lot of the risk out of the business and so, very clearly, in terms of prioritization, that's what we want to do first. Going forward, as our thoughts evolve, and as there becomes more certainty in this business and less volatility, we'll feel more comparable with providing more specific details.
Operator: From Morgan Stanley, we have John Godyn online.
John D. Godyn - Morgan Stanley, Research Division: First, just one for John, and then one for Jim. John, you had this comment in the release about earning a good return on invested capital versus your cost of capital, which is a great result. I know there's a lot of debate out there on how to calculate ROIC in airlines. Just want to get a better sense of how you do it and how conservative you are in it. Do you consider cash as working capital? And do you take into account the unfunded part of the pension?
John Rainey: Okay. A lot of questions there, John. Let me first say that we recognize there's a lot of questions in this area. And I think going forward, we're going to just actually put this calculation in our earnings release, and that will address a lot of the concerns. But I'll quickly try to hit on most of your questions there. We take on an invested capital perspective, we simply take the total assets and add back non-interest-bearing liabilities, and then we capitalize our operating leases. Importantly and it gets to your other question, by calculating it that way, that effectively assumes that our pensions are part of our debt, and we treat that just like any other interest-bearing liability that we need to earn a return on. Was there another question you asked that I missed?
John D. Godyn - Morgan Stanley, Research Division: No, that makes a lot of sense.
John Rainey: No, the cash. Yes, so in terms of cash, we think that the right way to think about that in this business is there is not an excess cash that we should not have to earn a return on. Said differently, we need to burden ourselves with earning a return on all of that cash.
John D. Godyn - Morgan Stanley, Research Division: Okay. And can I just ask a clarification on demand trends from Jim? You mentioned the economic environment remains tepid. But also that demand remains strong. Was the -- so far, throughout earnings, we've heard some airlines calling for continued strength, even in the face of ugly headline macro. But others actually acknowledging that they've seen macro weakness hit the bookings. Just to make it clear, where do you stand on that? And can you give us a sense to what extent July PRASM reflected macro weakness first, maybe one-time? Or it's like July 4th placement effects, any shrinks with tough comps, things like that?
James E. Compton: Yes, John. This is Jim. We're seeing demand being relatively stable. But when we talk about the economics -- the economy tepid, we are very much aware of, particularly Europe and so forth and keeping our eyes on that, which is why some of our capacity reductions in the fourth quarter have been a recognition of that already. So that -- the kind of that softness is in the economy is, is some of the things that we've seen. We're obviously watching to see where that turns. But we do see the leisure bookings over the next 6 weeks, which is really still the summer time period being quite strong based in our investor update with book load factor. As in terms of July, the Wednesday Fourth of July that you mentioned is an impact of July RASM year-over-year. We have -- when it's at Wednesday, there is significantly less business traffic that happens, and it's very much a leisure week more so then when that Fourth of July falls more towards the end or the beginning of the week. Also, I mentioned the FAA issues last year where ticket adds at the end, kind of last week of July. So year-over-year, that's a comp. And then lastly, although I will take this opportunity to wish the best to the U.S. Olympic team, which we partner with the United States Olympic Committee, the Olympics are a leisure week. And they're in London, they're a leisure couple weeks. And they are in London, and we obviously have a significant business presence in London, that also is putting pressure on our RASM year-over-year.
Operator: From Bank of America, we have Glenn Engel online.
Glenn D. Engel - BofA Merrill Lynch, Research Division: If I'm looking at your RASM relative to the industry, Latin America, you underperformed 7.5 points this year, after outperforming 2 last year. Domestically, you underperformed 5 points this year after outperforming at 1.5 point last year. Transatlantic, down 3 versus the industry versus flat last year. If you're not losing share, why are you underperforming the industry so much? And in Latin America, is there something about perhaps your mix like Mexico that's holding you back?
James E. Compton: Glenn, this is Jim. I think very strong comps last year, and particularly in Latin America beginning in kind of the second quarter period, May period...
Glenn D. Engel - BofA Merrill Lynch, Research Division: That was true for the industry, and they were up 18 7 so if dilution accounts for a 7-point gap?
James E. Compton: Yes. I think that -- I think if you went back last year, with our 20% growth was significantly better than some of our competitors in Latin America. So I think our comps are actually a little -- are stronger. The difficult comps are stronger for us this year in the Latin division. On some of the other carriers actually our length of haul RASM versus the industry on a system basis, kind of at a margin relative to first quarter. We continue to close that, relative to the industry. We actually see good progress. Again, the challenges that we talked about in the second quarter are there. But the network, we see benefits coming from the merger as in the individual hubs, and see them making progress on there. But some of that underperformance, quite frankly is the really strong comps last year.
Glenn D. Engel - BofA Merrill Lynch, Research Division: And within regions, Atlantic, Latin America, is there any -- within region differences among countries and stuff like that from closure performance to be different?
James E. Compton: Yes. I think we're seeing a little bit more softness in London, relative to some other parts of Europe and so forth. Latin America, we had some very strong comps, particularly in Central America last year. And so that's where some kind of the waiting down and terms of that you kind of dig into those amenities.
Glenn D. Engel - BofA Merrill Lynch, Research Division: And the other revenues that were so strong, are we going to see continued strength in the second half on that line?
James E. Compton: We're obviously we're very optimistic. We're seeing great take on our Economy Plus and the front cabin upsell. We're taking somewhat of a conservative approach of selling Economy Plus, so that as we work with the ops group and rollout that reconfiguration, as we mentioned we're at 86% done. So we actually, given the kind of the trends that we've seen and the acceptance and the value that the customers sees on that are very optimistic, both at Economy Plus and our upsell products.
Glenn D. Engel - BofA Merrill Lynch, Research Division: I'm sorry, does that show up in passenger revenue or other revenue?
James E. Compton: That's in passenger revenue.
Irene E. Foxhall: That's in passenger.
John Rainey: Yes, Glen, this is John. I would just add to -- in the last call, I talked about the accounting effect of 2008, the IETF 2008-1. That creates a geography issue where some of the, what was formerly booked in passenger revenue is now in other revenue. And that's some of the effect that you're seeing. And you should expect a continuation of that as well. Not to takeaway though, from what Jim was saying that we are seeing, in all aspects of our ancillary revenue, a good uptick.
Operator: And our last question, from Barclays, we have David Fintzen on the line.
David E. Fintzen - Barclays Capital, Research Division: Appreciate that there's a lot on the plate in terms of integration, but I'm just curious now with Delta now moving to upgauge your regional. I'm just curious, as you look out over the next few years, do you need to rethink sort of the shape and scope of the regional operation? Or are you happy kind of with where it sits?
Jeffery A. Smisek: David, this is Jeff. We're in negotiations with our pilots, and I don't want to talk about that, but we have said previously that part of those negotiations are having a competitive contract, and competitive contract includes competitive scope. It is the larger regional jets that's on a United subsidiary A, for example, are a very attractive product offering, offering both first class seats, Economy Plus and Economy, and it's important that we have a competitive scope provision, that's part of our negotiations, and that's all I can really talk to you about right now.
David E. Fintzen - Barclays Capital, Research Division: And when think competitive, I mean, just given your network and you're less connection oriented, your hubs are in bigger cities, you've -- is it -- what happened at American, that's a little more pressing on the competitive side? Or Delta? Or both?
Jeffery A. Smisek: Well, I view for the competitive landscape across all of our competitors, and when it comes to regional aircraft, that of course is more domestic issue than our global international competitors. But we have to look to Delta, we have to look to American, we have to look to everyone.
David E. Fintzen - Barclays Capital, Research Division: And just maybe if I sneak one in on the -- just on the Atlantic book load factor, and a month ago or so was down 2, now it's flat. You have the London commentary, Jim, which I appreciate, but you -- should we read anything into that? Or is that in sort of some of the fare activity in the sales that Jim, you were talking about earlier?
James E. Compton: Being flat now versus --
David E. Fintzen - Barclays Capital, Research Division: Being flat versus 2, I mean, is that the margin? Should we read that as Atlantic out a little bit better x London? Or...?
James E. Compton: Flight or the adjusted capacity, even as we kind of moved to the summer slightly and so forth. But I think, I would say that the demand's relatively stable and it's kind of, us trying to better match the capacity with demand. There can be -- there's a little bit of fare pressure in some markets, it's a little bit of revenue management looking for opportunity to take some marginal traffic that otherwise, that I think's closed some of that load factor.
Operator: Thank you, ladies and gentlemen. This concludes the analyst and investor portion of our call today. We will now take calls from the media. [Operator Instructions] And from Wall Street journal, we have Susan Carey online.
Susan Carey: I have 2 questions. First of all, I wonder if you could run me through this issue of the United spares. You pulled it down to what, and you're bringing it back up to what?
Jeffery A. Smisek: I'm sorry, Susan. You're very faint, and it's very hard to hear. Could you speak a little more loudly please?
Susan Carey: Okay, I'm wondering if you could give me a little bit more flavor on the issue of the United spares being taken down and being pulled back up. Like, how many or what was that all about?
Jeffery A. Smisek: I'm sorry?
Susan Carey: Spares.
Jeffery A. Smisek: Oh, spares, I'm sorry, actually, I'll ask Pete McDonald, who's our Chief Operations Officer, to take you through the details.
Peter D. McDonald: Susan, so United, on the United side of the fleet, we traditionally had run with 15 spare aircraft across the various fleets in total. And as --
Susan Carey: Mainline?
Peter D. McDonald: Yes, mainline. And that's excluding regional. And as part of the tech ops harmonization, as you know, the Continental side had very, very good completion factor, and one of the best practices that Continental had used was this preventative process of the -- preventative service lines where you produce time in the schedule where aircraft will go in there on a preplanned basis and have work done, and that was a big contributor to the high completion factor. United adapted that, and we had to hire mechanics and inventory and so forth to support those lines. And to pay for that, we reduced the spare aircraft on the United side, expecting that we would see similar completion with that process. Unfortunately, the health of the United fleet wasn't ready yet for that kind of reduction in the spare complement. So we have -- we are and have done some of the replacement of those spares. We expect that to continue for some period of time. We don't want that to be the long-term strategy for our fleet, and expect over time to go back down to sort of the 9 level that we had anticipated for this year.
Susan Carey: And I'd like to ask one other question. This is sort out of left-field, if you excuse me. Now that Japan Airlines is out of bankruptcy and is in the midst of its turnaround, we're wondering if what its significance is to U.S. competitors and whether it's had any impact on United and its partnership or if the AA joint venture with JAL has had any impact on your operations to Japan?
James E. Compton: Susan, this is Jim. Yes, the -- obviously, it's a competitive business, and every competitor we watch and so forth. I will tell you, as we build the joint venture in the Pacific with ANA, a great partner, and our ability to kind of bring more fair product, consistent fair product, better connections in Tokyo using ANA, we actually feel really good with our position to be able to compete in that market with any carrier.
Operator: And our final question, from the Associated Press, we have Josh Freed online.
Josh Freed: Could you say a little more about the Slimline seats that you're putting in? Which aircraft, and what the timing is for that?
John Rainey: Sure. So we're going to -- this is John. We're going to begin installing them on our Airbus fleet. We're actually making a number of investments in the 319s and the 320s, including bigger overhead bins, better lighting, the Slimline seats and ultimately Wi-Fi and NC power. All of which will make that a much better aircraft for our passengers and a better customer convenience. That's where we are starting. I think we'll evaluate that as we look at our other fleets, I don't know that we've committed to anything at this point. But importantly, what that allows us to do, one is it's a much lighter seat, and so we get an appreciable amount of fuel savings and then of course, you're able to put more seats on the plane, which is better from a revenue perspective. But as we begin to get experience with that seat, and install that on the Airbus, we'll roll that out and will give you guys a lot more detail about that.
Josh Freed: How many more seats on the plane?
John Rainey: About 6? 6.
Josh Freed: All right. And is that related at all to the recall issue from a couple of years ago? Or is that a totally separate thing?
John Rainey: It's entirely separate.
Irene E. Foxhall: Okay, as we're out of time, we'll conclude. Thanks to all you on the call for joining us today. Please call Media Relations if you have any further questions, and we look forward to talking to you next quarter. Goodbye.
Operator: Thank you, ladies and gentlemen, this concludes today's conference. You may now disconnect.